Operator: Thank you for standing by, and welcome to the Nickel Industries Limited December Quarter Activities Webcast. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Justin Werner, Managing Director. Please go ahead.
Justin Werner: Thank you, and welcome everyone to the Nickel Industries December 2024 quarterly results call. If I could just ask the slide moderator to move to Slide 2, and we'll kick off with safety and sustainability. Across 2024, 17.4 million man hours was worked across all of our operations with only two LTIs recorded. However, that is still two LTIs too many, and we remain steadfastly focused on safety. But our LTIFR and TRIFR measurements, which was 0.11 and 1.43 respectively, still remain well below the world steel average of 0.64 and 3.46. At sustainability basis, again we're pleased to announce that we've been shortlisted for a Green PROPER rating for the third consecutive year. Last year, we achieved the highest score of any nickel mining company, and we are targeting to become the first company to achieve a Gold rating. We remain the ESG leader in Indonesia, with numerous awards once again received during the quarter. And across 2024, we recorded the highest MSCI rating of any Indonesian metals and mining company. And we've also seen our S&P rating rise from seven in 2021 to 37 for 2024. And that's well above the global metals and mining average of 29. Finally, we were very pleased to roll out two initiatives this year that, we're very proud of. The first is, the establishment of a Nickel Industries foundation, whose first initiative was the establishment of a university scholarship program, for students from underprivileged backgrounds. Our first batch of students have begun studying degrees across various fields, including accounting and engineering, and performing very well. And the second is the establishment of a biodiversity zone on the boundary of the Hengjaya Mining tenement. If we could just move to the next slide, please. The December quarter, another strong quarter against the backdrop of continued sustained soft nickel price, we delivered US$72.4 million from our operations. Once again, a number of new records were set. This includes record quarterly contribution of US$14.7 million, from our 10% interest in the HNC, HPAL. And this bodes very well for our ENC, HPAL, where construction is progressing extremely well, and is certainly on track to deliver first production in the second half of 2025. We also recorded a record month of mining. Mining over 7 million tonnes for the quarter, and a record month in November where we sold over 1.3 million tonnes, for a single month. And finally, our ONI RKEF operations also achieved a new record of 12,362 tonnes of nickel in MPI, and that contributed to total production for the quarter of 32,784 tonnes. That was about 7% higher than the 30,663 tonnes that was produced in the September quarter. Whilst our reported EBITDA of US$22.1 million from RKEF operations, was significantly lower than the US$60 million in the September quarter. When you take out the US$23 million FX gain, from the September quarter and the US$20 million FX loss that, was incurred in this quarter, underlying EBITDA was actually US$42 million, which was for this quarter, which was 17.5% higher than the underlying EBITDA in September, which was US$35.8 million. On an EBITDA per tonne basis, the reported EBITDA of US$687 was lower than the US$1,909 a tonne in September, but again, on an adjusted basis it was actually higher at US$1,309 a tonne versus US$1,144 a tonne. The Hengjaya Mine has performed extremely well over the back half of the year, delivering EBITDA of US$37.3 million in September and then US$35.6 million in the December quarter. We were on track for a new record in the December quarter, but unfortunately, due to reaching our RKAB quota of 9 million tonnes very early on in December, we were unable to sell ore for the majority of December. But however, mining did continue and we mined a record 7 million tonnes for the quarter. ENC, all three autoclaves are now on site, with one of those already installed. And as I said, we're making excellent progress there. And then finally, we're pleased to report extremely successful exploration program at our recently acquired Sampala Project, and I'll touch on that in an upcoming slide. If I could just ask a moderator to move to the next slide, please. The story of 2024 has really been operational consistency, and stability despite a soft nickel price, and that continued in the December quarter. Costs were down slightly from 10,882 in September to 10,576. And the average price received was up slightly from 11,840 to 11,884. And so that decrease in costs and increase in pricing, is captured in that adjusted EBITDA number that I touched on earlier. Whilst our older HNI and RNI operations did struggle during the quarter, this was primarily driven by increased ore prices with premiums currently above the HBM ore price of $15 to $22 a wet metric tonne. Our ONI and ANI operations however, continue to perform strongly and it should be noted they produce about 75% of our nickel tonnes from NPI, so they are the bulk of our production and of our EBITDA contribution. That said, though, this year we're implementing a number of initiatives aimed at reducing costs at our RKEF operations as well as the progressive overhaul of RNI and HNI furnaces over the course of the year, which will lead to improved operational efficiency. Finally, 2,099 tonnes of nickel from MHP and a record EBITDA of US$14.7 million from our 10% interest in the agency HNC, HPAL. If I could just ask the moderator move to Slide 5, please. NPI pricing remains relatively stable. Our integrated next generation RKEF plants of ANI and ONI are performing very well, despite a soft nickel price environment, and again, demonstrate the competitive and cost advantage of fully integrated operations. If we could move to Slide 6, please. As I mentioned, progress at ENC is going very well. I was actually just on site a week ago, I mentioned all of the three autoclaves, which are really the heart of the HPAL operation, are now on site and the first of those has been installed. You can see from the aerial photographs there, particularly the ENC sulfate and cathode plant in the bottom there, is well advanced and ahead of schedule. And so as I said, we look forward to first production from the ENC HPAL in the second half of this year. If we could move to Page 7 please. Record quarterly mine production of 7 million tonnes and a record 1.3 million tonnes sold in November. The month of November actually delivered US$27 million in EBITDA for a single month. And the first two months of the quarter HM Mine actually delivered US$42 million. So we were certainly on track, for a new record from the HM Mine. I think US$60 million would have been achievable. But as I mentioned, due to reaching our 9 million tonne RKAB quota in early December, we were limited to about 200,000 tonnes of sales in December, whilst mining continued and that actually led to 8.5 million loss in December. Despite that still very strong EBITDA number of US$35.6 million for the Hengjaya Mine. Our 9 million tonne quota has now reset from the 1st of January. We're off to a very good start for the first month. And we are in the process of increasing the quota to 19 million tonnes. And we've submitted a feasibility study, an environmental study. We're aiming for the approval for that increase to 19 million tonnes, to hopefully be approved in the second half of this year. And the HM Mine has really been the standout performer of 2024. If we look annual EBITDA, this is unaudited, will be in excess, I think, of US$110 million for 2024, significantly higher than the US$87.9 million in 2023. And if you look at the second half of 2024, 65% of this 110 million EBITDA came in the second half. So we delivered in the last two quarters US$72.9 million in EBITDA from the Hengjaya Mine operations. If we could just go to Slide 8, please. I'm very pleased to provide an update on the Sampala project. 2024, we completed 48,646 meters of drilling and that brings the total drilling to-date at the project of 95,630 meters. We've still tested only about 2,500 hectares of 4,700 hectares of prospective laterite area. And we're encountering consistent, strong and long drill hole intercepts of both saprolite and limonite and spectacular grades of up to 7.41% nickel and 1.37% cobalt. Those cobalt numbers obviously important, because cobalt provides a very good credit for both MHP, and can be further converted into cobalt sulfate. We have an exploration target at Sampala of 350 million to 700 million dry metric tonnes on top of the existing or resource of 187 million dry metric tonnes. This is an exploration target at 0.9% to 1.1% nickel. So factoring that from dry metric tonnes to wet metric tonnes, we certainly look like we will exceed 1 billion wet metric tonnes of ore. And if you look at the current price environment, where saprolites fetching $45 a wet metric tonne and limonite $20 a wet metric tonne. If you look at our average margin across Hengjaya last year, which was $12, which is a blended average of saprolite and limonite, and apply that to the 1 billion wet metric tonnes that is an exploration target at the Sampala Project, you can start to see the size and scale of the Sampala Project and why we're extremely excited about this project. It has a very low capital development base, and we're already well advanced in terms of we've started work on internal haul roads. We've completed a mine design, which initially will focus on a 6 million tonne per annum operation, ramping up in sort of within two to three years to about a 20 million tonne per annum operation - and subject to approvals. The acquisition terms of the Sampala Project are also very favorable. We have an 18-month period, before we're actually required to pay for the project. And we're only paying for ore at a 1.7% grade. If you look at a significant portion of the ore body is below 1.7%, so we're effectively picking up millions of tonnes of nickel metal, profitable nickel metal at nil consideration. So it's a very compelling acquisition for us. In closing, as I mentioned, if you were to back out the FX, the US$20 million FX loss and the US$8.5 million loss in December at the HM Mine, quarterly EBITDA for this quarter, I think, would have easily surpassed US$100 million. However, even with the challenges of 2024, which included RKAB issues at the beginning of January and the end of December, some unseasonably high rainfall along the way and continued soft nickel and NPI prices. We've still performed very strongly versus our peers, when many have gone out of business, or being put on care and maintenance over the course of last year. We remain the world's largest diversified pure nickel producer, and we're looking forward to a very strong 2025, with a number of significant catalysts upcoming, which includes commissioning of our ENC, HPAL where we expect to see significantly higher margins, which is supported by the performance of our HNC, HPAL in the December quarter. An increase in our Hengjaya Mine RKAB from 9 million to 19 million and development of the world-class Sampala Project, which I've just touched on. All three of these will deliver significant EBITDA increases to the company. As we move towards our target of US$1 billion EBITDA annualized in the next two to three years. And I think most importantly, all of those elements that I've just mentioned, or all of those catalysts are all fully funded. With that, I'll hand over to Q&A.
Operator: Thank you. [Operator Instructions]. Your first question comes from Dim Ariyasinghe with UBS.
Dim Ariyasinghe: Good day, team. Thanks very much for the call. I think I agree that there's certainly a lot of positive to take out looking forward. But maybe just the first question, if you could remind me. So it does feel like cash at the end of the year, kind of a little bit lower than expectations. Can you just remind us what the ENC calls are looking like into next year, and how you're just thinking about the funding piece going forward, especially really on price outlook?
Justin Werner: Chris, do you want to take that?
Christopher Shepherd: Yes, I'll take that. Thanks for the question, Dim. Look, the ENC payments, we've got two payments left. We currently own 44%. We are have binding agreements to move up to 55%. So we've got two 5.5% payments. One is due on the first of July, and that's 126.5 mill and then another one is on the 1st of October, which is 126.5 mill. We're obviously keeping an eye on these margins, Dim moving forward. We've had discussions with Shanghai Decent throughout the year around these payments, and they've obviously continue to be very supportive of us, regarding the timing of those payments. But given where they are currently, we're keeping an eye on the margins. And really keeping an eye on the markets. We do have - and what I mean by that is on the debt markets. We've got outstanding bonds and bank loans, which we're obviously in discussions, ongoing discussions, which we can refinance throughout the course of this year, and we'll manage that appropriately. Right now, where I said we are - we still do remain fully funded for those payments, and I'm quite comfortable where we're at. If margins were to deteriorate, then we might look at refinancing some of our debt stack.
Dim Ariyasinghe: Yes, yes thanks. And might squeeze one else, one mill [ph] in there, if that's okay. Just on the cash cost outlook. It does feel like there are some things that are coming back to you. Maybe just some color around where you guys have seen costs into next year?
Christopher Shepherd: The cash cost for the RKEF business?
Dim Ariyasinghe: Yes please, please
Christopher Shepherd: Justin, do you want to take that one?
Justin Werner: Yes. I think if you look throughout the course of 2024, costs have remained relatively stable, although we did see an increase in the second half of this year related, to some ore shortages. We think - that the premiums that are being paid on ore, and we've already seen those reduce, will continue to come down. That will lead to lower cash costs at our RKEF operations. And power has remained - or our power cost has remained relatively stable throughout the course of 2024. We think that will continue. So we do think that there will be potentially a reduction in cash costs for our RKEF. Pleasingly, we are seeing small incremental reductions in our mining cost, and that's really coming about, through some of the volume achievements that we're seeing on a monthly and quarterly basis. So look, to summarize your question, stable, potentially coming down.
Dim Ariyasinghe: Awesome. Okay, cool. Thank you, guys.
Justin Werner: Thanks, Dim
Operator: Your next question comes from Richard Knights with Barrenjoey.
Richard Knights: Hi Justin, Chris, thanks for the call. Just a question about the mining quota increase Hengjaya. I think the lift to 19 million tonnes pushed out to the second half is a little bit of a delay versus previous expectations. And obviously - there's been a lot of chat in the press around Indonesia seeking to reduce nickel ore mining quotas. I'm just wondering what your level of confidence is on the timing of that? And also, just with Sampala, how the sort of perceived restriction on nickel ore mining by the Indonesian government will impact the time frame of Sampala?
Justin Werner: Yes. Thanks, Richard. In regards to timing of the HM increase from 9 million to 19 million, we have had a change in government and the new government has only just been installed in the beginning of January. That has meant a change in a number of the mines and environmental departments, and we've actually seen a consolidation of the mines and environmental department into a single department. That has changed somewhat some of the processing requirements or processing of permits. However, we - so we - there's sort of a newer process, not too different from how it ran originally, but it has sort of reset that somewhat. But we remain confident of achieving that RKAB increase, particularly given our ESG track record. I'm happy to share with you that - there was some press in the local papers around RKAB, and we were one of about four companies that was named as most likely to get an increase this year. So happy to share that with you as well. That flows through into development of the Sampala Project, Again, the 6 million tonnes is modest for our initial RKAB. And we're - in both instances, we've submitted feasibility studies to the mines department. As we receive approval for those, we will update the market in terms of the progress through those various permits, and approvals so that people will be able to see that, we are making progress towards getting a final approval.
Richard Knights: Okay. That makes sense. Thanks. But just on that 6 million tonne at Sampala, so that's the initial license quota that you're hoping for, but then beyond that, I suspect you'd be looking to expand it?
Justin Werner: Correct. Yes. So we'd be looking for 6 million tonnes in 2026 and expanding that to sort of 19 million to 20 million tonnes longer term, so to sort of match what we have at Hengjaya. That's obviously supported by the ore body, which is sizable. And again, I sort of can't overemphasize the very good track record in environmental, and reporting track record that we have in credentials, which we think puts us in a priority position for any increases in RKAB.
Richard Knights: Right. And just one more, whilst I've got you. Just on HNI and RNI obviously, higher cost, and you mentioned on the call, there was going to be an overhaul this year to try and optimize those assets and reduce costs. Can you just give me a bit more color around, what the capital of that would look like, and what the sort of potential cost impact would be?
Justin Werner: Yes. So we're actually going through that work plan at the moment and developing that. I think we probably wouldn't look to potentially start that overhaul until around May of this year. So we will be able to give further guidance probably at the end of first quarter of this year.
Richard Knights: Okay. Good. Thanks guys.
Justin Werner: Thanks, Rich.
Operator: Your next question comes from Cameron Taylor with Bank of America.
Cameron Taylor: Yes, thanks Justin, Chris. Just following up on the previous question. Is the existing sort of three-year RKAB license sort of timing the same? Or has that been reduced? I just didn't get the first part of your answer, Justin, on reapplying. Do you need to reapply every year on that 9 million metric tonne quota?
Justin Werner: So it used to be an annual reapplication, which often was leading to significant delays. Given there's a flood of RKABs being issued at the beginning of every year. The government has now increased that to the RKAB being awarded for a three-year period. So we have been awarded the next three years from 2024 at 9 million tonnes per annum per year. Some of that reduction in the RKAB that has been in the press has actually been companies that have been awarded 2 million to 3 million tonnes for year one, but then actually have the zero quota for year two and year three. Why would they have that? The reason for that is that they've been unable to submit a meaningful feasibility study, or environmental management plan that actually demonstrates that, they can continue to manage the mining and rehabilitation past what they've been issued for the year one. So we are secured in terms of the first year, which we've already achieved in the remaining two years, to increase the RKAB. We have to revise our feasibility study, and demonstrate that we can reach the target that we're seeking, as well as a revised environmental and rehab plan that obviously with the increase in production. We will need to double our rehab requirements and demonstrate that we have the ability to be able to rehab before effectively mining at double the current capacity. So those studies have been developed and been submitted, and they will now be peer reviewed. And there'll be a number of iterations and questions, and adjustments that will need to be made. But we've submitted them. And look as I said, we will provide updates as we get approval for the various permits.
Cameron Taylor: Yes, okay, thanks Justin. I guess just there's obviously been a lot of rhetoric as alluded to earlier around the government sort of reducing those quotas, but you're looking at almost quadrupling, right? So is that sort of likely are you getting 40 million tonnes of licenses over the next few years given that they're looking at slashing sort of mining quarters this year? Like, I mean, are you fairly confident given your credentials, is that really the only thing to look at here, is your ESG credentials and your ability to mine that ore body and rehabilitate it?
Justin Werner: Yes. And I think it's important. They're not - there's sort of not a slashing per se. So if you have an RKAB it's not being revised back. If you have an approved RKAB that you approved RKAB. It's just what those volumes are will look like moving forward. Some people have, as I mentioned, have approval where their volumes actually go down over the next three years. Ours remain stable, but we're confident that we'll be able to increase those. And I'm happy to share it, with everyone that press from a local Indonesian paper that states us amongst as I mentioned, a small handful of mines that they feel will most likely get an increase.
Cameron Taylor: Okay. Thanks Justin. That's clear.
Justin Werner: Yes, thanks Cam.
Operator: Your next question comes from Adam Baker with Macquarie.
Adam Baker: Justin, Chris and team. Thanks for following up those questions on Hengjaya mining quota. Just one on the stockpiles at Hengjaya. Just looking at the two half data you provided appears there's over 7 million tonnes of stockpile currently sitting there. Just wondering if you could provide a breakdown, on whether most of that is limonite or is there any saprolite stockpiles associated with that stockpile. And are you likely to sell more than you produced in the first quarter of this year? Or are you expecting to continue to build that stockpile up ahead of the ENC start-up later in the year? Thank you.
Justin Werner: Yes. Thanks, Adam. A majority of that stockpile is limonite in preparation for commissioning of ENC. ENC will require about 11 million tonnes of limonite per annum. So we'd like to have sort of a year or two already stockpiled in preparation for ENC coming online. There is a small buildup of saprolite stockpiles, mostly around - we couldn't sell for the majority of December. So we'll look to make that up over the course of - we're already making it up over the course of January and this quarter. And we are increasing the number of haul trucks that we currently have on site. So we - and drawing down on some of that stockpile is lower grade saprolite around sort of 1.3% to 1.4%. We have actually found a buyer for that. So we've actually put on an additional one to two barges to also sell that lower grade saprolite. So to answer majority limonite. And we have had a small buildup of saprolite, but we'll be looking to draw that down, and sell that off over the course of this quarter.
Adam Baker: That's great and thank you. And just on Sampala, obviously, some encouraging exploration results there, and it's allowed you to put out an exploration target. Just wondering the time line for an updated resource of that project?
Justin Werner: Look, I think we probably won't do one until it comes to determining the final acquisition price. Although that said, we - I think we'll see how the exploration results come in over the course of this year. And I think possibly the second half of this year, we may look to put an updated resource out. But at this stage, our focus really just remains on drilling out the remaining sort of 2,500 hectares.
Adam Baker: Great, thank you. I'll pass it on.
Justin Werner: Thanks, Adam.
Operator: Our next question comes from Daniel Roden with Jefferies.
Daniel Roden: Good day, Justin and Chris and team, thanks for taking the call. Just wanted to start for laboring the points on the [RKAB] losses, but I just wanted to just clarify, you just mentioned you're making up some volume over January from 1st on December. Just with the expectation that the license is approved in H2. How should we think about the, I guess, the profile of H1 in FY '20 - sorry, in calendar year '25. Are you kind of gearing that production profile up to kind of hit that 19 million tonnes for 2025, expectation of that permit being approved? Or is it more of a conservative balance close to the 9 million tonne until it is approved?
Justin Werner: Yes. I think we continue to target sales of around 1 million tonnes per month, and mining will continue at around sort of 5 million to 6 million tonnes per month, which that will build up - continue to build up the limonite stockpiles. So that's sort of how we're thinking of the profile for first half, so about 1 million tonnes a month of sales. With approval coming, we're looking at or anticipating third quarter of this year. And what that will mean is with those built-up limonite stockpiles, and the slurry plant will then be able to feed ore directly into the slurry plant. We won't need to mine it. It will already be stockpiled. And as I mentioned, the requirement for our ENC HPAL is significant. It's 11 million tonnes per annum. The slurry plant is built to process at 11 million tonnes. It's within the HM Mine concession. And so that's the sort of profile that we're looking at. And that will coincide with the commissioning of ENC, which contractually is targeted for October of the year.
Daniel Roden: Perfect. That was very helpful, thanks. And I just wanted to, I guess, get a comment on the Indonesian Chief Economic Minister the other week made a statement that requires all natural resource exporters, to hold proceeds onshore for at least 12 months, which commences from March 1. That's increase from 30% of proceeds at the moment. I just wanted to get a comment on, what the potential impact for your business are, is that an increase in working capital for the Indonesian assets?
Justin Werner: Chris, I'll let you take that one.
Christopher Shepherd: Yes, thanks, Justin. Thanks for the question, Daniel. Look, the first thing we've seen this comment. We are waiting for the official regulation and the specifics of any restriction, Dan? And specifically, what I mean around that is there's been comments around exports and - also proceeds from commodities. And we just need to know the details of that. As you know probably 65% of our NPI is actually sold in country within the IMIP. So the NPI from HNI, RNI and ONI. So that would not be impacted. We would not expect it to be impacted. And then the exports from ANI in the IWIP, we would look to, as we previously alluded to when this topic has been raised in recent years, we look to work with Shanghai Decent, we'd work with Tsingshan to potentially, rather than exporting that NPI also send it across to the IMIP. That is a couple of ways to deal with it from the NPI perspective. From - our ENC project coming on and the HNC current MHP, we actually need the specifics because, as you know, or as we believe MHP sulfide and cathode are not commodities, they're value-added products. So whether or not they would get captured by any restriction, we are not yet certain. To the extent that we did have cash restricted, there obviously would be, and we couldn't work around it, there obviously would be some working capital buildup. And then we would look to manage that in time. But I think it's too early for me to give anything definitive down until we get the specifics.
Daniel Roden: Yes, no worries. It's simple. Thanks guys, I'll pass it on. Thank you very much.
Christopher Shepherd: Thanks.
Operator: [Operator Instructions] Your next question comes from David Coates with Bell Potter Securities.
David Coates: Morning, Justin. Morning, Chris. Thanks for your time this morning. Just a couple of questions from me. First, just on the FX impact. Can you just give us a little bit - or just a bit more detail on the mechanics of how they work, we've had a falling Aussie dollar. I mean there's a number of things factor to drive at all, but we had a falling Aussie dollar and benefit last quarter, an impact this quarter. How should we sort of be thinking about, which way these are going to swing quarter-on-quarter?
Christopher Shepherd: Yes, thanks Coates. Justin, I'll take that one. It's more the movement around the IDR and the U.S. dollar, Coates. And it's across - a lot of it is primarily non-cash and it's across - and what I mean by that it's translation of balance sheet items, which we're required to do, obviously, back into - at the end of every month, end of every quarter. It's across the three main buckets. It's accounts receivable and accounts payable. - and that exposure. We have quite some - as at the end of December, we had about $150 million of that exposure across it from quite old historical VAT for ANI and ONI. It's almost impossible for us to predict the timing of when we will receive that VAT back from the Indonesian government. So that is very difficult for us to do anything around hedging. It could be very costly, if we get it wrong. The accounts receivable and accounts payable. We're finding that we've worked with Shanghai Decent over the last quarter to, in some cases, to shorten our accounts receivable timing or payment schedule. And that's worked well for us. And what we're seeing with - we are continuing to optimize further optimize that and align the accounts receivable and accounts payable, and that will almost eliminate any residual exposure over and above the VAT. But the VAT really is the big one that we are finding that we struggle to manage.
David Coates: Fair enough. If you guys come quick, it's going to be tough for us, isn't it? Let's see then. Justin, you mentioned you were on site with a JV partner visit to the ENC. Are you able to give us any more details and updates on what came out of the site visit last week?
Justin Werner: No. Look, other than excellent progress has been made. A majority of all of the long lead critical items are now on site. Just about all of the earthworks piling has been completed. The cathode plant, in particular, is making very strong progress. So yes, we'll continue to give an update, obviously, in the next quarter as well, but it's progressing very well.
David Coates: Excellent. And then again on project development, just going back to Sampala, you mentioned you obviously focused on drill out and the resource update maybe in the second half. Can you sort of a notional sort of longer-term indication of what the development time line Sampala looks like?
Justin Werner: We're targeting to have all approvals as well as haul road construction completed by the end of this year. So 2026, we'd be looking to achieve that 6 million tonnes of mining starting next year.
David Coates: Excellent. Thanks very much guys. That's it from me.
Justin Werner: Thanks, David.
Christopher Shepherd: Thanks, David.
Operator: There are no further questions at this time. I'll now hand back to Mr. Werner for closing remarks.
Justin Werner: Okay. Thanks again, everyone, for your time. And again, just to reiterate, there's a number of exciting catalysts coming up for the company over the course of 2025, and we look forward to providing the updates. And as always, we're always available for any questions that anyone may have. So - thank you again.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.